Operator: Good day, and welcome to the Designer Brands Incorporated First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note, today's event is being recorded. I'd now like to turn the conference over to Jesse Miller. Please go ahead.
Jessica Miller: Good morning. Earlier today, the company issued a press release comparing results of operations for the 13-week period ended April 30, 2022 to the 13-week period ended May 1, 2021. Please note that remarks made about the future expectations, plans and prospects of the company constitute forward-looking statements. Results may differ materially due to various factors listed in today's press release and the company's public filings with the SEC. The company assumes no obligation to update any forward-looking statements. Joining us today are Roger Rawlins, Chief Executive Officer; and Jared Poff, Chief Financial Officer. Now let me turn over the call to Roger.
Roger Rawlins: Thanks, Jesse. Good morning, and thank you, everyone, for joining us today. The strength we saw throughout 2021 continued into the first quarter of 2022, and we are extremely pleased with our performance as it demonstrates the progress we are making towards the long-range plan that we recently outlined at our Investor Day. I want to take this opportunity to thank our associates for their work that continues to successfully deliver long-term shareholder growth, even in today's challenging operating environment. Their hard work has resulted in market share gains, topline improvement and bottom line results that have exceeded our expectations. Designer Brands entered the year in a position of strength after returning to a growth trajectory in 2021. Our engines are back on and all the actions we took since our acquisition of Camuto in 2018 have enabled us to grow our market share across the board. We delivered outstanding results in the first quarter with net sales increasing 18% and adjusted diluted EPS growing 300% versus the first quarter of 2021. Providing value to our shareholders remains a top priority for us. We bought back 1.7 million shares in the first quarter and another 1.8 million so far in the second quarter as of May 27. At our April 8 Investor Day, we also announced the reinstatement of our quarterly dividend, which was effective starting in the first quarter of fiscal 2022, and today, announced our upcoming quarterly dividend that will be paid on July 6. Jared will provide more details on this a little later. We are proud to be providing a return for our shareholders via multiple avenues from significant EPS growth to consecutive dividends and opportunistic share repurchases. This all demonstrates the successful integration of our business model and our confidence in our financial footing. As you've heard us mention many times, we have worked tirelessly to go narrower and deeper within our brand assortment and have made substantial progress on this initiative. We are continuing to build upon our strong differentiated partnerships with our top national brands. We are pleased to report that our new prototype Warehouse Reimagined store opened on May 7 at a DSW location in Houston, and we are excited by the initial customer reaction and feedback. Our Warehouse Reimagined concept allows for the flexibility to further strengthen our relationship with our national brands through shop-in-shops, to provide a more seamless omnichannel experience and to increase capacity. These differentiators give national brands the opportunity to build out a brand story within DSW like nowhere else. I encourage you to find more information about the store and our grand opening along with the pictures and links to interviews in our first quarter infographic on our Investor Relations website. In addition to our Warehouse Reimagined concept, we have been rolling out shop-in-shops in earnest within DSW stores, and our customers are reacting positively to these new assortment displays. For example, our new balance shop-in-shop ran from March 6 through April 30 and saw a 10% lift in demand, both from transactions and average dollar sale, resulting in strong overall performance. Other brand spotlights during the quarter included an Adidas Kids focal wall, a Crocs hanging wall and a Puma shop-in-shop. For the balance of the year, we are rolling out similar shops for Reebok, Teva, Mix No. 6 and Skechers. Taking a closer look at the top brands, sales of our top 50 brands of footwear within our U.S. retail segment were 77% of total sales for the first quarter of 2022 versus 57% in 2019. Our assortment strategy of narrow and deeper is continuing to work. In spring, the number of SKUs in all stores is up 16% to last year. In addition, the depth of our key items is up 27% to last year as well. This is contributing to our sales and margin improvement. As we mentioned at Investor Day, our owned brands are the key driver of growth over the next five years, and we plan to double the sales of these brands by 2026, while maintaining sales of national brands, all guided by keeping the customer top of mind. Our fully integrated design and sourcing engines are turned back on, and they are humming. We delivered amazing growth in our owned brands during the quarter. Throughout 2021, we saw customer demand increase for fashion styles as COVID restrictions were dropped, infection rates decreased and events and socializing started occurring again. As a result, revenue in our owned brands category was up 68% versus the first quarter of 2021. And remember, this is on top of a strong performance last year when owned brands were up 40% versus the prior year. So we continue to see momentum building. Within our own brands, we saw significant growth in both our wholesale channels, with revenue up 78% versus the first quarter last year and through our direct-to-consumer channels, which saw revenue up 64% to last year. As mentioned at Investor Day, we relaunched the Vince Camuto brand, which has been well received, and we saw strong performance in the first quarter with revenue up 80% across all of DBI versus the prior year period, driven by substantial growth, both in our direct-to-consumer and our wholesale businesses. Our Vince Camuto brand sold through our own channels, including DSW and vincecamuto.com was up 76%, while the Vince Camuto brand sold through wholesale was up 81% versus 2021. According to NPD Group, Vince Camuto dollar sales grew 8x faster than the total fashion footwear market, ranking within the top 15 fashion brands for the first quarter. Another initiative we shared with you at Investor Day is our unique partnership we created with Wolverine around the Hush Puppies brand. We are excited that the partnership officially launched last month. We deployed a joint marketing campaign with Hush Puppies, leveraging learnings from our omnichannel platform and collaborating on future designs. We are excited about this partnership and this is an example of the type of work we can do with top brands. We're eliminating friction for Wolverine by accepting Hush Puppies' direct-to-consumer returns at DSW retail locations, while we gain guaranteed and exclusive access in our store inventory, and we're receiving great feedback from our customers. We are confident there is a bright future ahead for this partnership. Another example of working differently with top brands is our strategic partnership with ABG following their acquisition of Reebok. DBI now has the guaranteed licensing rights to acquire and sell Reebok branded products in our retail channels. We have access to significantly more styles and colors of Reebok product than we had previously, as well as a new costing structure that provides for favorable margins versus our historic margins where we purchase the product through wholesale. The initial agreement covers five years, and we are very excited to be able to add guaranteed access to such a well-known athletic brand. Our customers are already fans of the brand with demand for Reebok comping up in the first quarter by 33%. And as we focus on making investments to further the long-range plan we shared at Investor Day, we're excited about the strategic acquisition of the digital domain name shoes.com and its associated intellectual property. We are working on plans on how to best bring this asset to life, but I am excited about the opportunities this brings to reach new customers, partner differently with national brands and potentially provide new distribution channels for our owned brands. As you know, it all starts with the customer and meeting them where they are. After almost two years of consumer focus on athletic and comfy cozy product, we are seeing our customers come back to fashion, especially with all the events like weddings that were postponed until this year. One in three Americans are expected to make a trip to a wedding this year according to chain storage. Our flexible business model continues to allow us to quickly pivot our assortment to match the trends we are seeing, and our historic leadership in fashion makes us a top choice for consumers purchasing fashion footwear. We have gained significant market share in the first quarter. According to the NPD Group, DSW's dollar growth outpaced the remaining total footwear market dollar growth by 15 percentage points for the first quarter. Additionally, DSW grew dollar sales faster than the remaining market in men's, women's and kids. We are particularly excited about the growth that we are seeing in our fashion assortment. According to the NPD Group, DSW grew sales in fashion footwear 4x faster than the remaining market, resulting in market share gains. In Canada, we saw similar trends to DSW in the U.S. For total footwear in April, the market grew 25%, while Designer Brands in Canada grew 61%, resulting in a 3.2 point share gain driven by strength in both men's and women's. Our assortment is better balanced than it has ever been before, and we believe this shows that we can quickly pivot our assortment more effectively than anyone in this industry. We continue to see strong performance in our athletic athleisure categories. However, we do recognize this growth will moderate as the consumer comes back to our core fashion category. Driving share in the athletic category has been a major focus for Designer Brands. As a result, we increased our athletic penetration from 18% in the first quarter of 2019 to 27% during 2021. Athletic levels continue to remain healthy at 21% in 2022, above the 2019 levels, despite losing a couple of national brands. Our team has done a remarkable job, leveraging Adidas, Brooks, New Balance, Reebok, ASICS, Skechers and other national brands to fill in the void these exits created in our assortment. In fact, compared to 2019, DSW grew athletic and sport lifestyle footwear dollar sales 3x faster than the remaining market for the first quarter. Again, despite the largest national brand eliminating us from their distribution, we grew our athletic business by 26% to 2019 in Q1 and grew our market share in the space, supporting our belief that we are a top point of distribution for the consumer, reinforcing our ability to protect our market share when the brand opts to compete rather than partnering with us. We want to thank the leaders of our athletic brand partners and believe our success with them will allow us to continue growing share in this space. It's clear that we have risen from every challenge presented to us while navigating this complex operating environment and continue to grow. All the foundational changes we made during the pandemic allowed us to optimize our approach to marketing, getting rid of broad-based promotions and really focusing on targeted digital customer acquisition. As we foster relationships with our customers, we are seeing the benefits of this more targeted approach with strong retention rates, particularly with our loyalty members. Now our focus is less on acquiring new customers and more about winning back those customers who left during the pandemic. Our marketing approach has driven our overall DSW VIP customer base up 4% versus last year, with significant reacquisition, which is up 83% to last year. Finally, as we navigate this complex operating environment, we are proud to be tracking back to normalized inventory levels and ending the quarter with retail inventories up 19% on a square foot basis compared to the first quarter of 2021. We've been able to quickly react to what is working and what is not working, and therefore, should be able to ensure the best mix of inventory. Our improved product-to-market process is helping to shorten production lead times, helping to offset the transportation challenges the entire industry is experiencing. As we mentioned at Investor Day, we have already taken two months out of the design and production process and are looking for further improvements as we ramp up our overall production scale. Before I turn it over to Jared, we are excited to announce we have a new President of DSW, Doug Howe. Doug will be responsible for the strategic leadership of the DSW brand, continuing the momentum created over the past year. He brings over 30-years of experience in retail, most recently serving as Chief Merchandising Officer at Kohl's, and holding leadership positions across merchandising, design, product development and planning at Qurate Retail Group, Old Navy, Walmart and May Department Stores. Building and the developing elite teams is foundational to achieving our long-range goals of doubling our own brand sales and maintaining national brand sales, and I am confident that Doug's leadership experience will help us advance our business priorities of customers, brands and speed. Additionally, we just hired a Vince Camuto brand SVP, Max Garbutt. Max was most recently at Crocs for 7-years with his last role as their Vice President of Global Merchandising. He has also held roles at Land's End, Gap and Old Navy. Max has a proven track record of growth across DTC and wholesale, and we are excited for him to bring that valuable experience as we continue to grow Vince Camuto across all of our channels at DBI. We are thrilled to welcome Doug and Max and look forward to their contributions. In closing, I want to reiterate how proud I am of our strong first quarter performance. We outpaced our initial expectations in the quarter, supported by strong store traffic, and we are pleased to be raising our EPS guidance for the year. With that, I'll turn it over to Jared. Jared?
Jared Poff: Thank you, Roger, and good morning, everyone. We are incredibly pleased with our first quarter results, led by remarkable growth of our own brands. It is a continuation of the strength that we have driven over the past year. Please note, the financial results that we referenced during the remainder of today's call excludes certain adjustments recorded under GAAP, unless specified otherwise. For a complete reconciliation of GAAP to adjusted earnings, please reference our press release. Let's turn to our results. For the first quarter, sales increased 18.1% to $830.5 million compared to the same quarter of 2021. For the first quarter, total comps were up 15.3% on top of last year's 52.2% increase. As Roger mentioned, net sales of our own brands increased by 68% in the first quarter versus last year with significant growth in both the direct-to-consumer, which includes DSW and vincecamuto.com and revenue from wholesale. Owned brands have been a major focus for our company, representing 25% of Designer Brands revenue for the first quarter, a notable increase to last year's level of 18%. We couldn't be more pleased with these results as this further demonstrates our ability to deliver on our goal of owned brand penetration, representing nearly one-third of our sales by 2026. We saw strong sales across all of our segments in the first quarter. For U.S. retail, comp sales were up 13.6% during the first quarter on top of 56.3% last year. We have continued to see a strong resurgence of business in our stores with store traffic up 22% compared to the prior year, which we believe to be some of the strongest traffic comps in the industry. vincecamuto.com comps were up 19.7%, well above the 6.8% we saw in the prior year, and comps in Canada were up 41.4% compared to 10% in the prior year. As you might recall, Canada had a later start to the pandemic recovery in 2021 compared to the U.S., and we are pleased to see the nice pickup this period. As Roger mentioned, with our inventory strength coming into the quarter and our fashion customers coming back to us, we saw very strong growth in our dress categories. For the quarter, women's and men's dress sales were up 102% and 97%, respectively, versus the first quarter of 2021. We also are seeing strength in our seasonal category with women's sandals in the quarter, up 21% versus last year. Our customers are buying fashion footwear as they attend more social events, and we offer the brands and styles that they want. We are excited that we continue to see recovery in both dress and seasonal categories, two areas that align with our own brand's DTC capabilities. Regular-priced selling continues to drive our topline growth with clearance down 5% versus last year. As we've noted before, we are reattracting our clearance customer as an important part of our overall business mix, and we are evaluating ways to get them back while balancing sales, margins and inventory levels. Our consolidated gross profit increased 27.6% to $275.7 million in the first quarter, benefited by gross margin rate expansion and occupancy leverage. Our consolidated gross margin increased 250 basis points to 33.2% in the first quarter versus 30.7% in the prior year, driven by strength in full price selling of product coupled with a shift in mix as our customer is looking for fashion, which historically has had some of the highest margin rates, especially given our core expertise and fashion in our own brands. We have seen strong year-over-year margin rate improvement since second quarter of 2021, and as I mentioned last quarter, our guidance assumes this growth rate moderates as we begin to lap our recovery in Q2. We expect the core business to produce gross margin rates for the balance of the year that will be more in line with last year as opposed to the growth we experienced in Q1. Additionally, as mentioned, we plan to find ways to strategically win back our clearance customer in the second and third quarters, which could put some slight pressure on our overall margin rate, but will represent incremental customers and gross profit dollars. As we look forward, we continue to see our inventory management as a strategic strength and differentiator for Designer Brands. As our core customer is coming back for fashion footwear, we are able to lean heavily on our own design and sourcing teams to help manage our inventory levels even as the entire industry continues to see pressure on the supply chain. We have been able to succeed in this environment and secure inventory given our ability to self-produce as well as our scale and relationships with our national brand partners. We ended the quarter with retail inventories up 19% to 2021 on a square footage basis, which we believe will start to represent a more normalized inventory carrying position. Total inventory at the end of the quarter was $672.5 million versus $540.1 million in the same period last year. In the first quarter, consolidated adjusted SG&A for all of our businesses was $222.8 million, up 12% versus last year, with most of the increase coming from the strong return of the customer to our stores, driving up selling expenses along with a smaller increase in our marketing investments. Even with these increases, our adjusted SG&A rate leveraged substantially for the first quarter and was 26.8% of sales, well below last year's level of 28.3%. Adjusted operating profit for Designer Brands was $54.9 million in the first quarter compared to $18.7 million last year. Adjusted operating margin was 6.6% of sales for the first quarter, up significantly over the 2.7% operating margin last year. We are very proud that we continue to achieve such robust levels of profitability as our pivots and strategies have truly transformed Designer Brands profitability profile. We had $3 million of net interest expense during the first quarter compared to $8.8 million in the prior year. As mentioned on previous calls, with the extinguishment of our term loan, we expect our interest expense to be materially lower than FY '21 and within the range of $5 million to $10 million for the year. Our effective tax rate on our adjusted results was 29.3% for the first quarter. First quarter adjusted net income was $36.7 million or $0.48 per diluted share compared to $9.5 million or $0.12 last year. We are very happy with our financial profile and our liquidity positioning. Already in this year, we have paid off our term loan, renegotiated our new upsized bank revolver, repurchased 3.5 million shares as of May 27, 2022, and resumed our dividend program. Our liquidity position, which includes cash and availability under our revolver is healthy, ending the quarter with $293 million versus $339.2 million last year. We had $306.9 million of debt at the end of the quarter versus $337.4 million last year, but our outstanding debt is now funded through our bank revolver, which carry substantially lower interest and less onerous covenants and restrictions than our term loan. Also, this structure allows us to immediately apply material cash receipts to pay down the balance without penalty such as the receipt of the approximate $160 million CARES Act tax refund due to us from the IRS, which we anticipate receiving in the near future. We also ended the quarter with $54.8 million of cash versus $49.3 million last year and have $238.2 million available to draw under our revolving credit facility. We are pleased with our performance in the first quarter and the progress we are making towards our long-range plan that was outlined in our Investor Day in April. Given our strong performance and the continued share repurchase activity we've executed, we are raising our EPS guidance for the second time already this year to a range of $1.90 to $2 from a range provided at Investor Day of $1.80 to $1.90 and above our original guidance of $1.75 to $1.80 provided at the start of the year. In Q1, we saw stronger-than-expected performance, especially in our retail store demand and in our fashion category than owned brands, which more than offset some moderating we started to see around athletic as well as digital traffic similar to the footwear industry as a whole. Our increased EPS guidance assumes these broad themes continue and comp that our retail segments will be up 4% to 6% for the year, and our wholesale growth will be up 30% to 40%. It's important to note that our guidance does take into account some of the headwinds we are feeling in the industry, including freight, labor and supply chain and our ability to mitigate and fund these elevated expenses. Should we see some of these industry headwinds begin to subside such as freight begin to normalize, athletic return to a healthy growth or digital traffic return to positive comps, there could be upside to this increased guidance. Although we do not provide quarterly guidance, I want to again remind you of some of the color we've discussed about the calendarization of this year. I want to reiterate that our year-over-year operating income growth was always anticipated to be the strongest at the beginning and ending quarters and would be flattish to down in the middle two quarters with Q1 being far and away our strongest growth quarter and Q3 being our most challenging given the record-setting recovery impact last year and our new strategic plan this year to reacquire a clearance customer. With that, we'll open the call for questions. Operator?
Operator: Thank you. We'll begin the question-and-answer session [Operator Instructions] Today's first question comes from Gaby Carbone with Deutsche Bank.
Gabriella Carbone: Hi, good morning, and thank you so much for taking my questions. Congrats on the nice quarter. So you mentioned your own brands grew 68% in the first quarter. Curious, what that may be represented as a percentage of sales? And then maybe how you're thinking about that growth for the remainder of the year kind of within your long-term framework?
Jared Poff: Yes. Hi Gaby, that was roughly about 25% of overall sales. And as we mentioned in the call, when you really look at the categories that we dominate with our own brands being that for us, that's seasonal, that fashion, the fact that those are really, really trending right now, that was great, and we were ready for it. So we're really excited about that.
Roger Rawlins: Yes, Gaby, that's actually ahead of what we had planned as we had shared with you in our Investor Day. And I think some of the benefits we're reaping as you're able to see in margin, as you know that we're getting at least 15% -- 15 points or more of additional margin on those goods. And when you think about the some of the inflationary pressures around cost of goods and all of those kind of things, it's really allowed us to offset some of those challenges. So really happy with the progress.
Gabriella Carbone: Great. Thanks Rob. And then just another follow-up. Just curious how you're maybe thinking more about the macro backdrop moving forward on your customer? And then maybe you can maybe dig into the drivers of your change in the comp guidance to mid-single digit for the year?
Roger Rawlins: Yes. Gaby, I think one of the benefits we have of having that loyalty program that we have and access to so many consumers is that we're able to provide different offerings to different types of consumers. So obviously, I think as we all would recognize inflation hit someone with a lower household income in a bigger way than higher. And that's what -- as Jared had said, we are positioned to take some action and clearance to help support folks that are really in need of a value proposition that's perhaps different than they've had in the past, but the majority of our customer base has a household income over $100,000. So we haven't felt perhaps some of the same pressures that others have from a customer. The only real shift that we have seen is the consumer going more into our physical locations and less to the digital footprint that we have. Jared, I don't know if there's anything else you'd add.
Jared Poff: Yes. The only thing that -- and I kind of mentioned this in my comments is that really that guidance assumes that the trends that we have seen in Q1 really play out. And that is -- to be perfectly frank, our store sales were well above what our expectations were. Our digital sales were a bit below, and that's not unique to DSW. We're seeing that across the industry and across athletic. So we rolled that through, and therefore, as you can see, that allowed us to take up our overall EPS guidance, but we wanted to make sure we were postured properly on the top line. I do think that there's potential upside, as I mentioned, in my comments. If that digital expectation changes or if athletic actually starts to come back in a bigger way, there's upside to that.
Gabriella Carbone: Great. Thank you. That's very helpful. Best of luck.
Roger Rawlins: Thanks Gaby.
Operator: [Operator Instructions] Our next question today comes from Jay Sole with UBS. Please go ahead.
Jay Sole: Great. Thank you so much. Roger, I wanted to ask you about your comment that athletic grew. I think you said 29% in Q1, obviously, despite the loss of a key national brand. How are you understanding the consumer and your ability to serve the consumer without that brand? Is it the consumers are seeing great fashion and other brands and maybe they didn't realize before? Is it you're maybe more brand-agnostic than maybe people thought? How do you understand what's changing and how you're able to drive that kind of result without that one big national brand?
Roger Rawlins: Yes, Jay, I think as you know, we have a dominant position when it comes to the female consumer. And we've had this conversation about some folks want to compete with us to take that customer, and I think what we have proven is, there is a fashion element to athletic, and there are a bunch of amazing brands that can fill that void, frankly, better than what some of those big players can and that's what we leaned into. And when you look at the success we've had in Puma or a Reebok or -- again, a whole but new balance, you name it, I mean we have done an amazing job of filling in the fashion element. At the same time, what I'm really proud of is, we've gone after some technical areas that we had not played in before. So we are getting after technical running with some of the great brands that are out there and some of our best shoes in our company are technical running shoes because our consumer is going elsewhere to buy those products. So frankly, it's been eye-opening as to the fact that when you're beholden to one large player and you're afraid to do certain things because you might torque that person off, it's freed our merchants to think differently, and I am so proud of Jim and Sean and the team that we have in our men's, women's and athletic space, they've done one hell of a job of filling that void. And that's just in the U.S. And when you think about what our team with Mary and Nancy have done up in Canada, it blows my mind every day of how they fill that in. So again, we told you that we thought we could do this and we've done it.
Jay Sole: Got it. Okay. And then, Jared, maybe just on the quarter -- on the gross margin, maybe can you give us some of the pieces in terms of how much of a contribution the owned brands made to gross margin and were there offsets? If you can maybe give us a little breakdown that, that would be super helpful.
Jared Poff: Yes. Obviously, when you look at, one, the shift to fashion away from athletic in general, no, I will say, that's a historic proposition where athletic always trailed fashion. We saw our ability to have athletic margins over 2021, be much more in line with our fashion, but overall, we still see fashion slightly accretive overall. So that was a good positive trend and then the better than expectation sales of our own brand certainly contributed. What I would share is, when you look at kind of the overall mix, it continued to be very driven by rig price selling. IMU up pretty considerably. Really no markdowns to speak of, and so very, very strong flow through. And then we also had some nice leverage on the shipping side because of our overperformance on the store sales versus digital. So those are kind of the big puts and takes. The only thing I would say, there was about $20 million that we digested. We absorbed and digested baked into our gross profit in Q1, incremental to last year for freight and gas fuel surcharges. And that posture is built into our guidance go forward, but that is what we absorbed an elevated expenses over Q1 of last year.
Roger Rawlins: And Jay, I think the other piece as it relates to margin and I remember us talking about this at Investor Day is that the work that our teams have done to get narrower and deeper. So again, I said in the script that we were a 16% increase in all-door buys. I mean we are cutting off the tails of the assortment that have not been as productive, and we're getting after key items. And when you do that and you do it in brands that you own and control, as you know that, that drops straight to your bottom line. So again, the strategy has continued to work.
Jay Sole: Got it. Okay. Thank you so much.
Operator: And our next question today comes from Dylan Carden with William Blair. Please go ahead.
Dylan Carden: Thanks a lot. Just curious on the guidance. It sounds like it assumed sort of maybe a weaker direct channel and strength in the retail channel. And I'm just curious if that kind of corrects or sort of reverses back to trend line? What that might mean for the earnings outlook? If you can kind of just update us where you are as far as the margin profiles between the two channels. And also from an inflation or I'm just trying to clarify some of the comments around the promotional environment or the need perhaps for some clearance for that sort of more inflation stretch consumer, but also a potential offset from trade down? Are you seeing any of that early days kind of working through that, if that makes sense.
Roger Rawlins: Yes.
Jared Poff: Do you want to go.
Roger Rawlins: No, I'll take -- I can take the channel thing. So I think we have seen our historic store-only consumer who had not shopped with us because of -- obviously, there are concerns with COVID that they have come back in a meaningful way. And I think the activation of customers, I think -- Jared, correct me here when I'm wrong, but I think we were up 83% in that customer base. So to give you a sense, like that's in the millions of people that have come back to us. So we do not anticipate that there's going to be some seismic shift away from that in the coming months, Dylan, is what I would tell you. I think as it relates to the clearance consumer, the beauty of having both channels and our model is, there are things we can do because we know our customer. We keep describing it is as we know our customers, know them like our best friend. We can see the consumer that is more price sensitive and how we can present the roughly 15% to 20% of our inventory every single day that is clearance, how we can put that in front of a consumer differently to show value without having to take a ton of markdowns. So I think that's the play that we are making in order to meet both our regular price selling consumer as well as then a more price-sensitive customer.
Dylan Carden: Great. And then I joined a little bit late, but I don't think you talked about weather, which you're going to hang up the phone when I ask you to talk about weather because I always -- you shouldn't, but it was a cooler spring. And I'm just kind of curious what you saw in your business there? How quickly you're able to react just given how supply chains are and kind of what that might mean for the second quarter outlook.
Roger Rawlins: So I cannot emphasize enough the number of times that we've had this conversation about how nimble our assortment is. We are not beholding to anybody. We are not beholden to any one category. We have the ability to flex. When it was 35 degrees in April, we sold a ton of boots. When it got to be 75, we sold a ton of sandals. So that is the beauty of our business. And again, I do think we are differentiated from others from -- on that fact.
Dylan Carden: Great. Thank you very much, guys. Nice work.
Roger Rawlins: You're welcome. Thanks.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any closing remarks.
Roger Rawlins: Would like to, in closing, just say thanks to all of our associates, and I hope everyone that's listening and can see, we have a very clear view of our future. And our mission of inspiring self-expression, our vision to know our customers like our best friends, build our brands to meet their needs and to move at a speed that folks just cannot compete with. When we do that the outcome is, we will double the size of our own brands, and we will maintain our national brands. And I think all of our associates are hearing that on a regular basis from us, and I think when you think about what you guys have accomplished by building a kids business, growing athletic without the solution that mix, acquiring Canada and having an extremely accretive asset with what we've done, acquiring Camuto that has allowed us to now go build our own brands and achieve record margins. And all the time we're doing that, you guys are also out there investing in the national brand partnerships, cutting off tails of the assortment, building depth, more and more key items. And you've done all of that while you have overcome whatever obstacle the market has put in front of you. So I just can't say thanks enough, and I want you to stay focused. Stay focused on the mission and vision, and believe me, at some point, the street will realize what it is you've accomplished and the stock will reflect that. So thank you so much for what you've done and have a fantastic day.
Operator: And ladies and gentlemen, this concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.